Operator: Good day, and welcome to the Solaris Oilfield Infrastructure First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded.I would now like to turn the conference over to Yvonne Fletcher, Senior Vice President, Finance and Investor Relations. Please go ahead.
Yvonne Fletcher: Good morning, and welcome to the Solaris first quarter 2020 earnings conference call. I'm joined today by our Chairman and CEO, Bill Zartler; and our President and CFO, Kyle Ramachandran. Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks. Please refer to our press release issued yesterday, along with other recent public filings with the Securities and Exchange Commission that outline those risks.I would also like to point out that our earnings release and today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release.I'll now turn the call over to our Chairman and CEO, Bill Zartler.
Bill Zartler: Than k you, Yvonne, and thank, everyone, for joining us today. We hope that you and your families are staying healthy and safe admits the global coronavirus pandemic. We have seen a near instantaneous crumbling of global oil demand like no time in history. We won't reiterate the statistics that you all have now heard numerous times nor will we try to predict the tenure of this event. We do, however, believe this is an event, not a permanent change. Many lives, however, will be permanently altered, and the way in which we go about our daily activities will undoubtedly be different in ways we cannot predict yet. We at Solaris have ensured the safety of our employees and their families, and continue to keep the business functioning at its highest levels.Now I'll turn to our recent results. I'm pleased to share the details of another strong quarter delivered by the Solaris team. During the first quarter, Solaris generated nearly $48 million in revenue, $18 million of EBITDA, our fifth quarter of positive free cash flow and paid our sixth consecutive quarterly dividend despite a challenging market environment that was amplified toward the end of the quarter by the start of a global pandemic.I've been working in our great industry for more than 30 years and it's safe to say we're in uncharted territory. The combination of geopolitical and COVID-19-related pressures on the global supply-demand balance for oil and related products have resulted in severely depressed prices. As a result, oil and gas operators have significantly reduced development budgets and activity. These reductions began in March and have accelerated into the second quarter with many operators going to 0 frac crews and shutting in production as storage for liquid products becomes challenged around the world.As a result, we expect to see completion activities in U.S.-based land decline between 75% and 85% in Q2 from Q1 levels. As much as the oil directed completion activity is deferred, while some dry gas directed lease and leasehold-related completions continued, we expect our activity will follow the overall market. Despite the challenging macro outlook, I firmly believe that, for several reasons, Solaris will distinguish itself during this downturn and emerge even stronger on the other side of it.First, innovation and finding ways to create efficiencies is fundamental to our company's culture and our team. We remain on the offense during the downturn, and we'll continue to innovate for our customers. We will continue to invest in our fleet. As an example, even now we are continuing to work and trial innovations that improve data, reliability and throughput levels on the well site by automating processes and removing people from the well site, which ultimately will improve both safety and efficiency.Second, we’re entering the downturn with a very strong financial position. The combination of a conservative balance sheet and cash on hand means we are likely not only to weather the storm that's in front of us, but also ensure that we continue supporting our customers with the highest level of service. Our company has operated in a downturn before, and we continue to innovate and win new customers then, and we intend to do the same this time around.Third, we will focus on controlling what we can control, including our cost structure. We've always operated Solaris with a very lean cost and organizational structure, but we have found additional ways to reduce our spending, including reducing headcount across the company, lowering salaries, negotiating with suppliers and vendors and reducing capital spending. We've had to make some very tough decisions. One of the toughest has been to reduce our workforce by more than 50%, but we know that maintaining our financial discipline, available cash and a debt-free balance sheet will ensure Solaris has flexibility to take advantage of this downturn.We have our eyes wide open, looking for potential businesses and technologies that will complement and enhance our current business. Finally, we will remain focused on generating value for our shareholders. Cumulatively, before entering the current downturn, we returned approximately $59 million in cash to shareholders since December of 2018, while maintaining a debt-free balance sheet and cash on hand. We are also not wavering on our commitment to ESG.On the environmental side, we recently renewed some of our energy contracts. We now have a commitment to purchase green energy. We also have begun installing remote sensors on our generators that will enable us not only to report emissions but also potentially reduce emissions by enhancing our preventative maintenance program and improved safety by reducing the number of truck trips to location. Speaking of safety, our TRIR metrics have continued their downward trend, and we have achieved record lows for the company. On the governance front, we continue to maintain a conservative balance sheet and management and employees own approximately 16% of the company, which directly aligns our interest with the shareholders.Last but not least, the equipment we design, manufacture and provide to our customers drives value from both an environmental and a socially conscious perspective. Our systems reduce the number of people required on location, reduced truck traffic and completion time through reliability and large inventory supply directly at the blender. In addition, our equipment is all-electric and can be tied to electric power generated on site, eliminating the need to run diesel generators. Our latest R&D developments around software and automation further these benefits by taking additional personnel off-location and reducing trucking requirements.To summarize, while the extent and duration of this downturn is out of our control, we will focus on what we can control, running as lean and nimble as we can, ensuring our customers receive exceptional service and improving our offering to be ready to service the customers when they come back. With no debt on our balance sheet and a healthy cash balance, with continued expectation for free cash flow generation, we have many opportunities available to us to continue to grow and enhance our product offering, invest in our people and service quality while also returning cash to shareholders. With that, I'll now turn the call over to our Chairman and CEO, Bill Zartler.
Bill Zartler: Thanks, Bill, and good morning, everyone. During the first quarter, we generated $48 million of revenue, adjusted EBITDA of approximately $18 million and positive free cash flow of approximately $11 million. We averaged 83 fully utilized systems deployed to customers, which represents a 6% sequential decline. Excluding the impact of deferred revenue and other charges, revenue increased 6% sequentially driven by an increase in last-mile services, which is a large trucking component at pass-through margins and offset by a reduction in the total number of systems deployed.Adjusted EBITDA declined 13% sequentially primarily driven by the reduced number of fully utilized systems which drove lower cost absorption. Nearly 124 proppant systems worked with varying degrees of utilization in the first quarter. Our calculation of 83 fully utilized systems reflects the number of equivalent systems that generated revenue every day in the quarter, which we believe is the best measure for modeling purposes.Now turning to additional detail on the first quarter. Gross profit for the quarter was approximately $21 million, down 12% from the fourth quarter after excluding the impact of deferred revenue primarily due to the decrease in fully utilized systems. Gross profit was also negatively impacted by a lack of cost absorption as cost reductions lagged the activity decreases that began in March. Excluding bad debt expense and the catch-up benefit of renegotiating 2020 professional fees, total SG&A costs for the quarter were approximately $5 million, in line with prior guidance. For the second quarter of 2020, we expect total SG&A to be in the range of $4 million to $4.5 million.During the quarter, we generated a GAAP net loss of $19.1 million or $0.65 per share. This net loss included approximately $48 million in non-cash impairment losses that resulted from the risks and uncertainties associated with the significant reduction in demand for oil due to COVID-19 and certain actions by oil producers globally. Approximately $38 million of this impairment was related to the complete write-off of our Kingfisher transload facility in Oklahoma, while the remainder related to goodwill, inventory and other assets.As a reminder, we built the Kingfisher transload facility under a 7-year take-or-pay contract that was ultimately canceled. Between the agreed cash consideration for the contract termination and the cumulative earnings contribution of the facility, we have recouped virtually all of our original investment on the asset. Adjusted pro forma net income for the first quarter was $14.8 million or $0.32 per share versus $9.7 million or $0.20 per share in the fourth quarter.As a reminder, adjusted pro forma net income adjusts for nonrecurring items and also assumes the full exchange of all Class B shares for Class A shares for a more comparative period-over-period presentation. Please refer to our press release issued last night for a full reconciliation of adjusted pro forma net income. Operating cash flow was approximately $12 million in the quarter and after total capital expenditures of approximately $1 million, our free cash flow was a positive $11 million for the quarter.During the quarter, our accounts receivable balance increased primarily due to the increase in last-mile trucking services that I referred to earlier. We returned a total of $32 million to shareholders in the quarter including approximately $5 million in dividends and approximately $27 million in share repurchases, which includes an additional $5 million authorization made by the company's Board in late February. The share repurchases were made as part of a program, which was completed in mid-March. There is no share repurchase authorization currently remaining.We ended the quarter with approximately $46 million in cash. The decrease from the $66 million in cash at the end of the year was primarily due to the completion of our share repurchase program as well as an increase in working capital referred to previously. We expect working capital to begin to unwind as activity continues to decline in the second quarter, although the pace will likely be slow given the current environment. In fact, we have already seen some benefit in the working capital release.As of April 30, we had approximately $55 million of cash on the balance sheet, which reflects approximately $9 million increase over the March 31 balance and over $1.20 per share of available cash. We also continue to have $50 million of available under our undrawn credit facility.Turning to our outlook. As Bill mentioned, we anticipate the fully utilized U.S. frac crew count could be down between 75% and 85% sequentially as operators adjust their budgets and activity levels to the significant reduction in oil demand and commodity prices. We expect our business to perform in line with the overall sector, with identified opportunities to outperform through targeted share gains as activity normalizes and as customers continue to recognize the value of partnering with Solaris, including a cycle of continuous innovation and a balance sheet with staying power.While we are cutting costs as quickly as we can, we do expect activity will fall faster than we can keep up with on the cost side during the second quarter. We've reduced our total operating cost by at least 50% from Q1 levels, which is primarily driven by a workforce reduction of greater than 50%. However, due to a lag in cost reductions relative to the pace of activity declines, we expect profitability will decline significantly more than revenue in the second quarter.EBITDA could be even flat to slightly negative. However, we expect to remain free cash flow positive as we benefit from the continued unwind of working capital. In the meantime, we will continue to look for ways to build flexibility into our cost structure for what is hopefully a short-lived lull in U.S. completion activity. Some of the cost measures we are considering could include the possible use of furloughs, new work schedules and more creative vendor and resource management.We are entering the downturn with a debt-free balance sheet and more than $15 million of cash, which leaves us with over $100 million of available liquidity. This position provides significant optionality to opportunistically and thoughtfully evaluate both organic and inorganic growth opportunities, while also continuing to return cash to shareholders.With that, we'd be happy to take your questions.
Operator: We will now being the question-and-answer session. [Operator Instructions] Our first question today will come from George O'Leary of TPH and Company. Please go ahead.
George O'Leary: Hi, Bill, Kyle and Yvonne.
Bill Zartler: Good morning, George.
George O'Leary: I just wanted to – that last comment. I thought it was interesting that you made, Kyle. You guys do have a pristine balance sheet and a big net cash position, and sometimes it is good to play offense, while everyone else is playing defense. So just curious, as you look out at the growth landscape, both from an organic and inorganic standpoint, what do you see out there that potentially interests you? And which buckets maybe you would away from? Or which buckets don't interest you to the extent there's something you wouldn't want to put – push into or wouldn't be thinking about?
Kyle Ramachandran: I think the second part is probably the easiest, which is what we want to stay away from. We've always stayed away from anything, I'll just say, commoditized. Fundamental to our business has been working with customers, partnering with them to innovate around taking costs out of their operations, making their operations more efficient. So I think that's where we see the opportunities, both on an organic and inorganic basis. So from an R&D standpoint, we continued to innovate on our products, added new products, have more in the pipeline, and that will continue to be a fundamental component of our business.During downturns, opportunities get created to find new ways to cut costs to remove things that you thought were necessary and just change the way you're operating. So from an organic standpoint, we're very excited about that component. From an inorganic standpoint, we've always had our eyes wide open. We've been very cautious. The only notable transaction, I think we've done in the last couple of years was the Railtronix acquisition, which brought with it tremendous software capabilities that we continue to leverage today.So I think from an inorganic standpoint, we look at things that can help drive our current base line of business, but then also diversify the revenue stream. We recognize that today, we are 100% completion oriented. And some of our guidance today was directed towards the reduction in activity that we have seen and expect to see. So I think as we look at the longer-term prospects for Solaris, we think it's a really neat business that’s positioned very well from a balance sheet standpoint, from a culture standpoint, to build out something more diversified.We're going to be very cautious about it. And as I said, we've been looking at it for, I guess, really since the beginning of the company's foundation. But we do believe that, to your point, from a balance sheet perspective, from a cash flow perspective, we're really well positioned here and there's going to be a lot of distress. There's no doubt about it, both on the private side as well as the public side. We've been through a lot of cycles. We chose to build this company with virtually no leverage. I think that's going to play out well for us. It certainly won't be the case for everybody in the business. And so we'll use that to our advantage.
George O'Leary: Great. That's super helpful, Kyle. And then nice cash build, free cash flow number during the quarter. It sounds like April working capital was helpful. Again, if completions activity is down 75% to 85%, and then who knows what happens in the last two quarters of the year? And there's some talk of kind of cessation of the frac holiday at some point and people are actually adding some activity back late in the year. But is there more to do on the working capital front that can kind of help keep you guys free cash flow positive? And then just talk a little bit about the variable cost nature of your business, and then what you guys can do on the cost front to maintain kind of margins and free cash flow generation ability.
Kyle Ramachandran: Yes, so on free cash flow, I think, yes, we do see an unwind, as mentioned on the prepared remarks there. Some working capital in our accounts receivable. Obviously, times are challenged and certain companies are going to reduce or slow down their pay cycles, but we do feel like that will be an unlock that will drive free cash flow here for the remaining part of the year despite significant reduction activity. From a cost structure, also noted, our cost structure is quite low if you look at just a comparative basis across the industry.It's a specialty rental business, whereby we don't have large crews staffed on a permanent basis to be on location 24/7. We do have a team of technicians and maintenance folks and controls individuals that are out every day on locations, but they're kind of moving around. So we've variabilized a bit of that, and that's been some of the, obviously, very difficult decisions we've had to make as a team to reduce that workforce. But clearly, as activity comes down, it's prudent for us to bring in those figures.From a cost standpoint, we've rolled out salary reductions virtually across the board for the company. Everybody is sharing in the exercise, so to speak. We have gone out to many of our third-party vendors to get concessions. So I do believe we've got a pretty variablized cost structure, but it's pretty hard to keep up completely with the rate of activity drop. But all that kind of pulled together, I would say, we do foresee a positive free cash flow for the remainder of the year.
Operator: Our next question today will come from Jason Lundberg of Credit Suisse. Please go ahead.
Jason Lundberg: Hey, good morning.
Bill Zartler: Good morning, Jason.
Kyle Ramachandran: Good morning, Jason.
Jason Lundberg: You guys are obviously talking about a very strong decline in activity next quarter, but I'm curious on your customer conversations that you've been having around the second half of the year, to the degree you're having any, are customers indicating or are any customers really indicating to you a willingness to pick crews back up in the second half? Or is nobody just looking out that far at this point?
Kyle Ramachandran: I think we’re obviously having discussions. Most important discussions right now are the near term, and I think people are keeping their eyes on what's going on from a macro standpoint. We've got, obviously, a significant supply-demand imbalance. The return of the demand piece is TBD. We're starting to see some good signs here in Texas and that we're opening up pretty significantly today. So until that demand component comes back, this – the macro supply demand imbalance is going to obviously challenge a return of activity.But that being said, we are seeing significant reductions in production. Obviously, globally, we're seeing customers shut in wells. Some of the wells they're completing today are actually not getting put on production. So yes, people are obviously optimistic and hopeful around what the second half of the year looks like from an oil standpoint. From a gas standpoint, we're seeing better, I guess, stickiness in terms of activity overall. But I think just in general, it's going to be a bit of wait and feel.
Jason Lundberg: Got it. That’s helpful. And then I guess also I guess in the current environment and everything is falling, it might be pretty tough. But as things stabilize, do you think this environment helps or hurts your ability to gain traction with the chem systems?
Kyle Ramachandran: Intuitively, it feels like it should help because, again, it's about reducing individuals on location. It's about reducing supply chain costs. It's still a question of, in a completion engineers' 10 things to do today, as this going to be on his list. We're dealing with customers that are laying off, obviously, a significant component of their workforce. So it does create an opportunity to potentially talk to some different individuals within a company around different value propositions. So I think innovation does, in general, happen during times like this.If we look back at the history of our business, we really inflected in early 2016, late 2015 in terms of the adoption of the sand system. So as far as innovation, I think these are the windows where you can get your foot in the door and people are willing to try something a little differently. You go back six months ago and completions in the engineered, primary focus was getting these wells completed on time and on budget. On time is obviously less of a concern right now. So as far as innovation and R&D, people are willing to try new things at this point in cycles.
Operator: Our next question today will come from Martin Malloy of Johnson Rice. Please go ahead.
Martin Malloy: Good morning, Martin.
Bill Zartler: Good morning, Martin.
Kyle Ramachandran: Good morning.
Martin Malloy: You spoke in your prepared remarks a little bit about potentially gaining customers during the downturn. Could you maybe elaborate some more on the competitive dynamics right now and your expectations as far as potentially gaining customers? And I know that there are some other players in the mobile proppant market that are less well capitalized than you are?
Kyle Ramachandran: Yes. And I think the other thing is we’re going to continue to innovate in this time period. And so by doing so, I think we continue to build a better competitive offering. And so I think that’s one of the ways we think we can gain share. So we’re not just going to sit in the downturn and wait for activity to pick back up. We’re going to continue to demonstrate to customers additional ways to get more efficient with what we’ve done historically.So I think that’s a component of it. Obviously, there’s a fair amount of financial distress, but we’re not going to use that as our ammo. Our ammo is going to be around the activity, the offense that we can play. And it could even include some of the stuff George asked about in M&A. So we’re kind of positioned to start looking at things that could be bolt-ons that all of a sudden make our offering look more attractive to somebody that historically may not have been as interested in Solaris.
Martin Malloy: Thank you.
Operator: Our next question today will come from Jon Hunter of Cowen. Please go ahead.
Jon Hunter: Hey. Good morning.
Bill Zartler: Good morning.
Kyle Ramachandran: Good morning, Jon.
Jon Hunter: So can you talk about – clearly, there’s this steep activity decline in the second quarter. Can you talk about how April shaped up versus the first quarter average? And maybe how many systems you have working today?
Kyle Ramachandran: Yes. It’s – I think going back to the previous earnings call, we talked about February being up over January and January looking more like December and February looking like November, and we expected March to look like October. That clearly didn’t happen. We started to see a pretty significant drop-off in activity in March. It’s come in on a Monday and by Tuesday, somebody was saying, by the end of the month, they were going to be shut down for the foreseeable future.So the drops really were pretty fast and furious throughout March. I would say, April directionally looks like if we hold at April levels, we’re sort of at the bottom end or the low end of the 75% to 85% decline. So I think we’re kind of already very much there, but don’t have a ton of – or I would say differently, I think we’re kind of at that bottom end of the range, and we’ve got visibility around being able to hold there, but I think there is obviously risk going forward. And that’s why we provide the wider range.
Jon Hunter: Right. That’s helpful. And then…
Bill Zartler: I think by the bottom end of the range, it means the lesser reduction, not the lower end of the – the bigger end of the range, to clarify.
Jon Hunter: Correct. Right. And then just on pricing, I mean, I know your offering is such a small piece of the overall well cost for an operator. But I imagine nothing is really immune from pricing declines in this market. So to that end, kind of what are you seeing on the pricing side from your customers?
Kyle Ramachandran: Yes. Well, just anecdotally, I’ll say nothing is immune from our cost structure either. Every dollar accounts for us. So we’re going after every dollar on our side as well. But I think, yes, you’re right. It is a small overall component, but nothing goes unforeseen when oil prices have dropped like they have. The fundamentals of what we do haven’t changed, though.At the end of the day, what we offer is an overall reduction for customers and their total cost to deliver sand to complete their wells, et cetera. So that’s sort of been our approach. We have proactively reached out to virtually every customer we’ve touched over the last couple of years to be in front of them. But here’s what we’re doing during the downturn. We’re going to continue to innovate, as I mentioned, we’re looking to drive down cost for our customers. We’re not reducing the maintenance or the coverage or the service quality. So that remains very important. We’ve got the staying power as we discussed.But I think when we look at pricing, what we continue to do is try to be winning with our customers and activity. And what we think about there is the more a customer uses us, the lower their prices in general. We like that trade-off. So it’s kind of how we’ve approached it is we’d like to be your dedicated partner and doing so, let’s look at this pricing range. So I think we saw a little bit of a directional reduction in the overall rental rates in the first quarter. And we’ll probably see a little bit more in the second quarter as the overall mix and book gets updated. But I don’t think it’s something we’re leading with. It’s more about being proactive to say to our customers, look, we know you’re feeling a lot of pain, let’s partner up here. And that – really, to be honest, that has been received quite favorably by most of our customers.
Operator: Our next question today will come from Stephen D Gengaro of Stifel. Please go ahead.
Stephen D Gengaro: Good morning. Hope everybody is doing well.
Kyle Ramachandran: Good morning.
Stephen D Gengaro: I guess just one thing I wanted to hit on, and this may be – I may be stressed, but I was just curious if you’d seen this. Do you think – I mean your systems, I believe, lead to less people at the well site, especially with relative to the containerized solutions. Are you seeing – has there been any talk about the benefits to that going forward? I mean, obviously, everybody is – you said a lot of the large integrated service companies are talking about automation and limiting people at the well site. Have you had discussions along those lines? Or is that something that’s come up?
Bill Zartler: Yes, that’s a constant discussion, and it’s effectively a combination of our operating cost structure versus a competitive operating cost structure as well as a safety issue and a complexity issue on the well side. So I think that has been a universal difference between a containerized solution and a vertical solution since day one. So those are constant conversations, I think, as the industry begins to ramp back up in the severe layoffs that we’ve seen of people over the last month or so.The labor force in the U.S. is obviously significant unemployment today. But I think that turns around relatively rapidly across the country. And as that does, the question is how challenged we’ll be – our industry be in rehiring folks that have been let go and how does that play into the comeback and the need for labor? And does our system with lower labor requirements, especially specialized labor, dealing with work lifts and moving things around, how does that change? And how easy is it just to ramp those back up versus ramping our system up? So I think we do have a significant advantage there.
Stephen D Gengaro: Thank you. And then just quickly, and I don’t think there is, but when you look at idling equipment and ultimately reactivating, is there much cost to that for you?
Bill Zartler: No, it’s trucking. And we’re preventatively looking at all of our systems and using this opportunity to clean them up, change the oil and have them ready to go do any damage. They’ve been a lot of them in the system, out in full duty for several years now, and it’s time to – a little bit of time to bring them in and shining them up a little bit and make sure that all of the wear parts are ready to go.And if I looked at our small capital expectation is going to be on some work on the systems. But we’re using some of our labor to do that and do that as efficiently as possible in the downturn. So the cost to bring them back on order is very, very low. There we’re working one day. If you park them out in Karlsbad, they’re not going to have any damage and be ready to go in four or five months when things turn around.
Stephen D Gengaro: Okay, great. Thank you.
Bill Zartler: Thanks, Steve.
Operator: Our next question today will come from Chris Voie of Wells Fargo. Please go ahead.
Chris Voie: Thanks. Good morning.
Kyle Ramachandran: Good morning, Chris.
Chris Voie: I was wondering if you could give an update on the chemical systems, the numbers that have been converted to the advanced design at this point and whether you have any operating today?
Kyle Ramachandran: So we provided some of those numbers in the past. I don’t think they’ve changed. So we’re not deploying any incremental capital today into those systems. In the first quarter, we had a couple of them running. Today, I don’t believe we have any running. We have looked actually in some alternative uses. It’s still around, obviously, the oilfield for those systems, intermediary storage for chemicals, for other applications outside of just completions at the well site. So that’s kind of the update there.And I think, to the prior question, we’re still, in front of customers, talking about the value proposition. And I think, again, during this downturn, it does represent an opportunity to put those out.
Chris Voie: Okay. Yes. I mean, that dovetails into the next thing I was going to ask. When a company takes the frac holiday, I suppose it’s a chance for them to reevaluate everything they’re doing and come back with a fresh setup post the holiday and fracking. So is there any specific kind of approach you’re taking to that in terms of trying to be in front of people during this and kind of suggest the value proposition for chemicals or switching to the proppant silos from other solutions. Just curious whether you expect that to be a tailwind? Or if there’s anything special to think about there?
Bill Zartler: Well, we certainly – to the distraction point, we have all of our commercial and sales folks focused 100% on their customers to the extent they can. We’re not dropping a lot of breakfast off to folks, but we’re on the phone with them talking about them trying to develop our – the real economic proposition that’s behind the combination of our sand system and the chemical system across the board as well as the last-mile offering. So we are not – we have not stopped playing offense, and we’ll continue to do that. We’re – we have new things to go in and present to them around some belt scales and some measurement tools and some additional automation features that we continue to add to the system. So we’re in front of them with new ideas, and our sales guys are on a regular basis.
Chris Voie: Great. Thank you.
Operator: Our next question will come from Ian Macpherson of Simmons. Please go ahead.
Ian Macpherson: Hey, thanks. Good morning.
Kyle Ramachandran: Good morning.
Ian Macpherson: Kyle, I wanted to ask if we don’t know really when and where the trough is. But assuming we get near the trough by the end of this quarter and the summertime. And it’s not a lot different than 80% down from March. Would – by that point when your cost reductions catch up with the suddenness of the revenue reductions, do you think that you could stabilize at a modestly positive EBITDA level in the back half of the year once your costs and sales have leveled together? Or is it still going to be a struggle to defend positive EBITDA in that scenario, do you think?
Kyle Ramachandran: Yes. I think there is some level of fixed costs, obviously, being a public company. So there’s some notion there and there’s x number of systems required to be working to cover that component of it. But to the extent this is protracted and prolonged look, again, continued to keep beating up the cost structure. We’re not going to stop. I’d say, we’ve really done two different reductions in spend, I would say, and to the extent further needed, the team is prepared to do that.So yes, we will continue to rightsize the business for what the top line looks like. But we are positioned from a balance sheet standpoint to be patient and not be penny-wise here. Again, going back to the very earlier comments, we’re here for the long run, and we view this as an opportunity. So we don’t want to cut too deep into the bone such that we’re not able to take advantage of what, to your point, and a lot of other companies choose, they got to remain breakeven or their doors close. And so we’ve got a little bit of an advantage there to play.
Ian Macpherson: Understood. Thanks. And then my other question, this is maybe a little bit cookie, but just given the suddenness of the cessation in activity, is there any significant amount of sand at well sites that’s faltering in place and as a renter of storage where you have maybe some stickiness to unintended proppant storage over the course of this quarter?
Kyle Ramachandran: I wouldn’t call it material. Ironically, the Kingfisher, we’ve got, got, obviously, some sand in silos as people thought there’d be more activity up in Oklahoma, and that hasn’t happened. So there is some forward staging occurring there.
Operator: [Operator Instructions] Our next question today will come from Jason Wangler of Imperial Capital. Please go ahead.
Jason Wangler: Hey, good morning. I was curious as you kind of continue to talk about the balance sheet, Kyle, with the dividend, you obviously completed the repurchase of the shares. But how do you think about the dividend as you go through these next couple of months or quarters?
Kyle Ramachandran: Well, we’re obviously looking closely at that and talking to our Board about what we do. We stand by our desire to continue to return money to shareholders. And we’ve got a lot of flexibility around that, and we’re going to do what we feel is appropriate for the next quarter, looking out a couple of quarters and anticipating what activity looks like.
Jason Wangler: Okay. And then also just, again, with the balance sheet being in such great shape and discussing M&A, would there be larger opportunities which would put leverage on the balance sheet? Or are you thinking still more like the deals you’ve done in the past where they’re relatively small and you kind of fold in, in your current balance sheet?
Kyle Ramachandran: That’s a great question. I think we have looked at that. I think we are – as you guys can tell from our history and our position, we’re fairly debt averse. It would have to be something that had tremendous potential, tremendous protection for us to get comfortable borrowing in this environment to do much. But we’ll – every opportunity is unique, and we’re focused on that.
Operator: Our next question today will come from J.B. Lowe of Citi. Please go ahead.
J.B. Lowe: Hey. Good morning, everyone.
Kyle Ramachandran: Good morning.
J.B. Lowe: Just have a question on – if we see associated gas production come down in places like West Texas, and we actually see coming out of this downturn, we see some more demand for actual gas wells being drilled. Just wondering what – if you guys have looked into, I don’t think you have a very large footprint out East, and I’m not sure that silos are used a lot in the Marcellus. Have you guys looked into talking to some customers out in the Marcellus or the Haynesville about silo stores that you may not have previously talked to? Just wondering about your strategy on that front.
Kyle Ramachandran: Yes. The history, honestly, is some of the first systems ever used were out in the Northeast. So some of the original systems manufactured and sold were sold to a pressure pumping company that took them to the Northeast. Specifically, because of the small pads to put a concentrated level of profit on a small location, there’s nothing more efficient than a vertical silo. So it’s actually very advantageous. Some of the challenges in the Northeast are on the movement from well site to well site. But that being said, they’re moving drilling rigs, et cetera. So it hasn’t been prohibited.So we’ve always had a presence there. And yes, going into the challenged oil backdrop, we are repositioning some of our commercial time and efforts around both the Haynesville as well as the Marcellus. So again, it’s not somewhere we have not been or we’re not able to go. It’s just somewhere where it hasn’t been as busy for us, given the rapid activity growth in the oil plays over the last couple of years.And the well designs as well as the proppant loadings in some of the oil plays were more advantageous for us to be going after because some of the value propositions were higher. But when we look at the Northeast, things like three packs, we’ve run a lot of three packs because some of the proppant loadings are smaller. So definitely an area where we expect to continue to put focus on and extend the current presence that we already have.
J.B. Lowe: And how many silos do you – how many systems you actually have in those plays at the moment? And I imagine it’s not – it doesn’t cost a lot of money to move one of these things from West Texas and so on?
Kyle Ramachandran: No, and quite frankly, several years ago, we took several out because we were short in other basins. So yes, they – we have reopened, we do move. So that’s not really an issue. Directionally, I’d say the gas places probably represent 20% to 25% of our current deployments.
J.B. Lowe: Okay. Thanks very much. Stay safe everyone.
Kyle Ramachandran: Thanks.
Operator: Our next question will come from Ryan Pfingst of B. Riley FBR. Please go ahead.
Ryan Pfingst: Hey. Good morning, guys.
Kyle Ramachandran: Good morning, Ryan.
Bill Zartler: Good morning.
Ryan Pfingst: Just to come back to pricing for a second, for systems that remain deployed, do you think that your pricing has remained somewhat more stable because you charge on a monthly basis versus other services that charge by the day or maybe by the stage?
Kyle Ramachandran: Yes. I think that’s been historically the case. The volume-based pricing has generally been more variable. And again, back to the rental model. As you get more efficient, you benefit from the fixed rental cost. So when they translate that fixed rental cost into $1 per ton or $1 per stage or $1 per well, the numbers have been coming down because of the efficiencies. So yes, I think that business model, that partnership model provides alignment and therefore, more stickiness.
Ryan Pfingst: Got you. And then can you just comment on differences you might see in customer behavior based on the type of customer, whether it’d be a major – a smaller E&P or a service company?
Bill Zartler: Go ahead.
Kyle Ramachandran: That’s a complicated question because we can analyze it in a lot of different ways. I think the most relevant probably point right now is, obviously, the majors generally have a diversified asset base, and they may have downstream elements in their business such that they can still continue to not be completely fully levered to what’s going on in the oil land.So I think the majors are probably better, generally positioned to withstand some pain here. But then again, there’s lots of independence with incredibly successful business models and asset bases and balance sheets that were really great. I think the challenge right now is going to be how do you finance your business and how you hedge your production? And how are you going to weather the storm? So whether you’re an independent or major, that’s sort of academic in some ways. And I think in general, the larger majors probably on balance, probably have a stronger position.
Bill Zartler: One element of your question was about the mix between service and operator business. And I think the – as there’s such turmoil and such dynamics with capital spending budgets and timing of that and the operator, it gets extremely difficult for the service guys to plan. So I think the nature of the pressure pumping is – unless there’s a really long-term relationship in place with the operator, their planning is a second derivative of what the operators are doing, therefore, a little bit less certain and more volatile and difficult to plan for. But I think everybody is in a state of a little bit of what do we do in replanning for the rest of the year.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. At this time, I’d like to turn the conference back over to Bill Zartler for any closing remarks.
Bill Zartler: Thanks, Allison. I’d like to close with a thank you to all of our employees for their continued commitment and execution of the business, to our customers for their continued partnership over this difficult period. While we’re clearly not through the virus and its numerous lasting impacts on all of us, the team should be extremely proud of what we’ve been able to do and keep the business alive in the industry functioning during this troubled times.Our operations are continuing without interruption to provide, hopefully, essential services to our customers, a high level of service there and to our suppliers and shareholders. We remain committed to helping our customers, further increase efficiency, safety and savings on wells by continuing to innovate our offering and our products during this downtime. And thank you all and stay safe.
Operator: The conference has now concluded. We thank you for attending today’s presentation, and you may now disconnect your lines.